Jussi Pesonen: Ladies and gentlemen, dear audience, welcome to UPM’s Quarter 4 and Full Year 2020 Result Webcast. I have to say that this is my 69th quarterly report as a CEO of UPM. I’m the CEO of UPM, and I have to say as well that I’m as eagerly looking for the future as 17 years ago. This is so fantastically interesting that what we do today. I’m here with our CFO, Tapio Korpeinen.
Tapio Korpeinen: Hello to everyone.
Jussi Pesonen: Ladies and gentlemen, 2020 was highly exceptional year for all of us. Of course, the COVID-19 pandemic and related lockdowns caused a severe global shock that put societies and businesses to the test. The result that we report today is – and all of the business are satisfactory in these circumstances. We need to be humble and really having a clear focus what we do and how we run the business. Our financial position, of course, continue to be very strong. This means we can continue to implement our strategy and drive for the company transformation and that strongly to the future. We have highly attractive growth projects in pulp and biochemicals under construction. These projects will deliver significant earnings growth and change the position of the whole company once completed by the end next year, 2022. And at the same time, we can distribute an attractive dividend to our shareholders. In this next page, the year 2020 ended in a positive note, as we can see. Demand improved in Q4 in most of our businesses. As you can see here, our comparable EBIT increased from the previous quarters. So basically, volumes were important on this. Of course, still, like I said, sales decreased by 11% comparing that over 2019, as well as our comparable EBIT, €252 million, 11.5% of sales was down 27%. But we have been taking a successful health and safety measures, enabling also running our businesses efficiently. In focus that we have during the year of high uncertainty, our focus was clear and still is and for the future, we have to have a same focus. First, we took and continue to take actions to ensure our performance of all our operations. Secondly, we focused on securing the successful implementation of our transformative growth projects. And thirdly, we continue to develop the next steps in our strategy and the opportunity, as we speak, is in the biofuels. Accordingly, we can report a good progress in all these sectors. We took several measures to decrease fixed costs, including the closure of the Chapelle, Kaipola mills and the Jyvaskyla plywood mill and streamlining in several businesses and functions. These measures are expected to result in annual savings of approximately €130 million by mid-2021. The sales process of Shotton paper mill in Wales continues as planned. I’m pleased to tell you that the transformative growth projects in Uruguay and in Germany, in Leuna, are proceeding well, on schedule and on budget. Finally, we have today announced a next step in our growth plans. We have now started our basic engineering phase of the new next-generation biofuels refinery. But let’s get into the year 2020 and the mix COVID-19-related demand impacts. It is clear that we have had positive and negative impacts in our products and businesses. Graphic paper demand was mostly affected by the COVID lockdowns and all the measures. As we see here, full year was 18%, down from that of 19% in Europe. In Q4, the second wave of the pandemic was gathering pace and new lockdowns were introduced in several European countries. This slowed down the recovery of the paper demand. Still Q4, graphic paper demand decreased by 14%. But as you can see from the slide, Q1 was minus 8%, Q2 was 32% down, Q3 was 18% down and Q4, 14% down from that kind of comparable quarter 2019. So basically, there has been a clear negative impact on our volumes. Over the past 12 months, we have removed 1.16 million tonnes of graphic paper capacity through closures and conversions. Furthermore, we are planning to sell another 250,000-tonne paper mill in our Wales operations. Our total capacity reduction represents, i.e., all in all, then 1.4 million tonnes or 19% of the capacity of UPM. And all this means a solid operating rates for UPM Paper businesses 2021. On the positive side, the change in consumer behavior during the pandemic as well as growth in e- commerce have boosted demand for self-adhesive labeling materials and specialty papers. For the full year 2020, self-adhesive labels demand in Europe grew by 5%. In Q3, demand was impacted by destocking. But as we can see from here, in Q4, demand growth was back on 7% year-over-year level. Similarly, our Specialty Paper business have been in good demand, both in full year and Q4. While demand held well throughout of the year, supported by good demand for tissue and many packaging and specialty paper products, China, in particular, has been showing a good recovery. The estimate global pulp shipments for the first 11 months, so we the statistics for that. As we speak, 2020, we’re up by 3.7%, representing roughly a 2 million-tonne demand of shipments increase. But with this – all this market background in mind, I hand over to Tapio for some more analysis on our results, and then we come back. Tapio, please.
Tapio Korpeinen: Thank you, Jussi. Yes, we have the usual analysis of change in comparable EBIT year-on-year and quarter-on-quarter. On the left-hand side, year-on-year, sales prices were clearly lower – or the largest negative component. Sale prices were lower than previous year in all businesses. Variable costs decreased as well but not enough to fully offset the sales price headwind. Delivery volumes had a negative net impact on our fourth quarter EBIT year-on-year. However, the impact was clearly smaller than in the previous quarters. And as Jussi described, demand for our products was generally good in the fourth quarter. Deliveries decreased in Communication Papers by 14%, but volumes grew in other businesses. Fixed costs were down by €7 million in the quarter compared to last year. During the fourth quarter now, we had two large pulp mill maintenance shutdowns, which clearly added to maintenance costs. But still, the cost reductions in the underlying business overall was enough so that totally fixed costs were down by €7 million. On the right-hand side, you can see the EBIT development quarter-on-quarter or sequentially from the third quarter 2020. Variable cost decrease, you can see in this comparison, is partly seasonal due, in part, to the annual energy-related refunds that are booked in the fourth quarter in Communication Papers. Deliveries increased from the third quarter – in the fourth quarter. And also here, partly, this is seasonal by nature but then also partly related to the improved demand situation in the fourth quarter. Fixed costs in this comparison quarter-on-quarter, increased by €89 million and this is due to normal seasonality that we have at the end of the year and due to the two large pulp mill maintenance shutdowns in the fourth quarter, which I mentioned. In this chart, on the right-hand side, you can clearly see that the star performers for the year and for the fourth quarter as well were Raflatac and Specialty Papers. As Jussi described, demand in both businesses benefited from the favorable changes in consumer behavior during the pandemic as well as from strong growth in e-commerce. On top of the market tailwind from these factors, as we have pointed out earlier, both businesses have, for some time already, worked on commercial and efficiency measures to improve profitability and, therefore, started the year 2020 with already improved margins. And those good margins obviously held throughout the year. In Biorefining, demand for pulp, renewable fuels and sawn timber was good in the fourth quarter. China clearly is leading the demand growth in the pulp market. Market prices for pulp have been at a low level for quite some time. But now in the fourth quarter, pulp prices started to increase, but the first price increases were offset by changes in exchange rates. The two extensive pulp mill maintenance shutdowns had roughly €50 million negative impact on the fourth quarter, and this then meant that the quarterly result was pushed down to breakeven level in terms of comparable EBIT. Communication Papers performed better in the fourth quarter than during the two previous quarters, and this is due to seasonally low energy costs and due to higher year-end demand. As you remember, energy costs are seasonally low in the fourth quarter for Communication Papers due to the energy-related refunds that are each year booked in the fourth quarter, even if they are based on the full year energy consumption. Therefore, in a sense, relate for the full year’s operations but become known in the fourth quarter and therefore are booked in the fourth quarter results for Communication Papers. Even though our energy consumption was lower in the previous year, still this year, the increased CO2 emission right price in Europe meant that the refunds broadly were at the same or similar level year-on-year. UPM Energy delivered strong earnings in the fourth quarter, supported by excellent hydrological conditions. And in Plywood, demand continued to be good in construction end uses, but on a lower level still in industrial end uses. Markets remained competitive for Plywood. And here you can see that four of UPM’s six business areas have shown returns, exceeding their long-term return targets during 2020. Raflatac achieved a return on capital employed of almost 40% and Specialty Papers, 22%. Even Communication Papers exceeded its target, achieving a free cash flow return to capital employed of 19%. Or if you would calculate that as sort of a conventional return on capital employed, that would be around 12%. This is a satisfactory achievement, to say the least, in such an extraordinary market that the business went through in 2020, given the implications of COVID-19. Biorefining was clearly below its target, achieving a return on capital employed of 5%. This is, obviously, to a large extent, because pulp price stayed at a cycle low level for the most part of the year. But then also impacting the returns at the moment is that we have been accumulating capital in the balance sheet of Biorefining as we have been now going into the Paso de los Toros pulp mill project in Uruguay. This has started already earlier as we have been building up our plantation base, which is included in the Biorefining capital employed, preparing for the project. And obviously, also now under the construction phase before the start-up of the mill in the second half of 2022. Our operating cash flow decreased from the all-time record cash flow that we reported in 2019. 2020 was a challenging year, I would say, in terms of working capital management. We had businesses sort of following different sort of shape and rate of development, Communication Papers shrinking while pulp, Raflatac and Specialty Papers continued with strong and growing demand. During 2020, we tied up €90 million in working capital, even though we succeeded in releasing working capital in the second half of the year. Operating cash flow totaled just over €1 billion in 2020, which was enough to keep our free cash flow clearly positive in the first higher CapEx year of our transformative growth phase. Our financial position is very strong. Net debt stood at only €56 million at the end of 2020. Liquidity, very strong as well. Cash funds and committed credit facilities totaled €3.2 billion. In the fourth quarter, we successfully issued our first Green Bond under our EMTN program. This €750 million bond matures in 2028 and pays a fixed coupon of 0.125%. There are no financial covenants in our outstanding debt or credit facilities. Today, UPM Board proposed an unchanged dividend of €1.30 per share to the Annual General Meeting. This shows the Board’s strong – the Board’s view on UPM’s strong financial position and the confidence in our future capacity to generate cash. And then here, you see our outlook for this year 2021. We expect the world to start – in terms of the world economy, to start recovering in 2021 from the deep downturn that we experienced last year. Obviously, still, the pandemic continues to cause significant uncertainty. The development, obviously, will also be different by region, but is already strongly led by China. All this will influence the demand for our products. Pulp prices started to increase in the fourth quarter and we expect this to continue in early 2021. On the negative side, paper prices are expected to decrease moderately in the beginning of the year, I would say, by a middle single-digit percentage. In 2021, we will have all of our more significant maintenance shutdowns in the second quarter, including two pulp mill maintenance shutdowns. Last year, we had no bigger maintenance shutdowns in the first half of the year. All in all, we expect our comparable EBIT to be lower in the first half of 2021 compared to last year. We expect our EBIT to recover in the second half of the year. At this point, I’ll hand it back over to Jussi for an update on our growth projects.
Jussi Pesonen: Thank you, Tapio. And ladies and gentlemen, we are coming back to this slide that I opened with you. Our focus for the coming quarters will be unchanged. Performance, performance and performance, and then successful implementation of the transformative growth project. As Tapio said, there are signs of recovery, but the pandemic is not over yet. And therefore, the focus is very clear and we humbly do what we need to take and do to ensure our performance. We will do our utmost to ensure business performance as well as secure, safe and successful implementation of the Paso de los Toros and Leuna projects. The next page is familiar to you all and to us all from our Capital Markets Day. This slide illustrates UPM’s transformation and the impact of how we grow what is our strategy. And as you can see, we have been selecting, over – there’s a two years, 2009, when we had the financial crisis – global financial crisis, and then 2020, now – closing the 2020 numbers, corona pandemic year. In this comparison, as we can see, our top line is basically the same even if the top line is generated quite differently from various business. We have achieved significant growth in the businesses where the long-term fundamentals and high barrier to entry is and, as we speak today, there’s a 65% of those businesses. In growing businesses, our average EBIT margin has been three times higher than in the declining Communication Paper business and this is changing our business and profitability mix significantly and structurally and has done that. In between these two years, you can see that many important steps we have been taking. We have changed our operating model to a quite unique way of operating in this industry, performance measures, a lot of those. Then we have been putting a lot of focus on balance sheet and then innovation, high-entry barrier-related focused growth investments has been in our development plan. And now we are entering to a quite a significant kind of implementation phase. You will see it later on. But maybe highlighting this 35% of gross sales, which is our Communication Papers. This – sorry, last year, we were achieving on – that year as well 5% EBIT margin, even if the pandemic was hitting us quite significantly. But that comes from the fact that we have been all the time taking timely actions to reduce our costs. We have been always taking actions to keep our operating rates high. And even on that kind of period, we have been able to really take actions to actually secure a good cash flow. However, now we – going forward, we are taking clearly large growth steps in our portfolio with the transformative growth projects. We aim to achieve higher margin and attractive returns on investments. I believe this will further drive our future earnings as well as future change of the positioning of the company. And this illustration doesn’t include now the biofuels idea that we have today described to you as a kind of phase three or the kind of detailed basic engineering. Taking again this slide that Tapio was showing, that how we were positioned 2009, comparing that to how we are positioned today, 2020, against the future. Obviously, you can see that on the performance side, we are totally different level. We have been able to really get good returns. And especially, the balance sheet is now very solid for the coming quarters and coming years. And therefore, we are very confident on – to take those steps. Next slide is transformative growth projects in most intensive phase 2021, and as you can see that we have been now putting here a illustrative numbers for 2021 and 2022, including, of course, our operative investments plus also the Paso de los Toros Uruguay project and Leuna. So basically, all what I was explaining is now in the implementation. So the company is transforming itself quite significantly. The total CapEx is expected to be €2 billion in this year. But looking the balance sheet, the performance of 2020 and then what we do for the taking a steps for the future and transformation of the company is now really happening. The heat is on in that respect. Moving into the kind of update you on Paso de los Toros. You can see here pictures our Paso de los Toros mill construction site and as well our harbor operations. In the middle where you have the night picture, I myself calculated, was it 9 or 10 grains already, huge grains in that mill side. There’s a lot of things happen. There are more than 3,000 people working for the project itself in the railway, which is government’s PPP project. There is another 2,000 people working. It is not our project, but we are really now moving on with the budget – or on the budget and on timetable. So basically, you can see all the developments. On right top corner, you see our harbor operations, where you can see the pulp storage which is now under construction, but also the whole harbor actually activities. So a lot of things are happening. We do have on the bottom also our temporary and permanent housing construction, which is proceeding well, and 90% of that activity has been now already completed. Basically very well moving on. Of course, the Uruguay project is much further than our Leuna project, but the construction of the biochemicals refinery construction work started during the Q4. According to our schedules, there has been a lot of engineering work still to be done, and we are on budget, on time also in our Leuna project. Ladies and gentlemen, then a few words about our further transformation. Our transformation will not stop here, even if this is really now heavily going into scale up the businesses that we feel that are having a long-term good fundamentals in demand as well the entry barriers to protect the profit pool. And as – like we already guided you in the Capital Markets Day, we are happy to announce that we are proceeding with – to the next stage with our biofuels growth plans. We are starting a basic engineering phase of potential next-generation biorefinery, which would we capable of producing 500,000 tonnes of high-quality renewable fuel, five times larger than our Lappeenranta mill, including sustainable fuel – jet fuel product as well. There’s a lot of now considerations. We, at the same time, look at the market, market development, regulation, regulatory world. Raw material sourcing is absolutely important as well as the technology for getting this into the phase when then the – we are ready to start the analysis of and preparing for the final investment decision. We have decided primary locations: Kotka in Finland and Rotterdam, as you can see here, in Netherlands. And as stated here, the estimate duration of the basic engineering phase is minimum 12 months. And then coming to our final stage of our spearhead of growth kind of picture, which has been there for last three years. I’m now happy to say that in the left-hand side, the Specialty Packaging materials, both businesses made record superior results in 2020. So basically, changes – internal changes have been really material to have a better margins, to have a good product mix and then the operationally and commercially well-run businesses. Small steps are still happening in their investments. We actually made a 11 – or was it €13 million investment in linerless products in Raflatac. And of course, this year will be the year of scaling up our Nordland mill, which has been under start-up phase in Germany last year. The debottlenecking investment that we had in our Changshu mill to debottleneck our label paper machine in Changshu has been already in full use more than half a year of last year. So it went very well. In the middle, we all know that $280 per tonne cash cost, the huge pulp mill project is on time, on budget and well proceeding. And then on the right-hand side, on top of Lappeenranta where the year 2020 was again a successful year in terms of volumes, in terms of profitability. We are now constructing the biochemicals in Leuna, €550 million investment. And then as we stated this morning, starting a basic engineering for next step biofuels. But also the basement – in a way, that placement needs to be solid. Our Communication Papers, our Plywood and Energy needs to be performing, and we are protecting the profits of those with the actions that are necessary for the businesses. And then ladies and gentlemen, I think that this is a kind of long-term driver for value creation for UPM, and we are well positioned in this industry, but also UPM well positioned in global mega trends and growing demand for renewable products and kind of circular economy. And this – with this kind of approach that we have in UPM, we enable our customers and consumers to make more sustainable choices. And on this area, we committed in 2020 to UN Business Ambition for 1.5 Celsius decrease and to the science-based measures to mitigate climate change. And as you can see in here, we do have all the opportunities to actually act on that. Typically, industries are having the middle part of this picture where you take the emissions down. We are committed to take emissions 65% down by 2030. We have committed that our forest are climate positive, i.e., mean that we grow forest more than we harvest. So always a positive. And then innovation- driven products that are actually replacing fossil raw materials. So in UPM, we think that we create a future beyond fossils. Then ladies and gentlemen, maybe as a kind of proof point for what we have been doing, we have been getting recognitions in different forms of good sustainability performance of the company. Without going into the – repeating myself, this is the kind of prepared part of the presentation, and we are now ready for questions. Dear operator, you take over from this. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Alex Berglund of Bank of America.
Alex Berglund: Two questions from my side. The first one is on the different pricing trends we are seeing between pulp and graphic paper right now. And I know you don’t want to predict pricing. But if you look at the current dynamics in graphic paper, is your sense that the market needs more capacity reductions to balance? And do you think that inflation that we are now seeing in both pulp and O&P could accelerate this? And then more specifically for UPM, I wonder if you see any merit in consolidating your graphic paper assets with other player to better optimize the footprint in the market. That was my first question. I will let you address it, then I have some quick modeling follow-ups, if that’s okay.
Jussi Pesonen: That is okay. These two first questions, I can take. And first of all, what we do in UPM, we take care of our own assets to be competitive ones. So, i.e., meaning that our operating rates needs to be high in all years, i.e., meaning closer to 90% than 80% or even less. So basically, if there will be a need for that this year, we will take actions. So basically, that is the way that we do. And on top of that, we take a lot of measures to use raw materials efficiently, use energy efficiently. And all of that to actually make good kind of margins or solid margins and cash flow out of the business. When it concerns other players, I cannot comment that I don’t know how they consider. But for us, it is crucially important to have the efficiencies, and we will act based on that also in the future. We have been doing that every year, ever since last – ever since 2006, we have been closing capacity every year to keep the efficiency. And that is the key in this matter. And obviously, yes, there are still some extra capacity on the market, but we’ll see what happens. Consolidation, as I have said that many times, we are open to think about that. But for us, it is very important and that we do what needs to be done on the markets all the time to keep our good cash flow generation in place.
Alex Berglund: So moving on to some modeling questions. You mentioned at the end the refunds was flat on a year- on-year basis. I wonder if you can quantify it in millions and the benefit you had there. Secondly, I’m just wondering if you could remind us on the impact that you had in Q1 last year from the strikes in Finland and how we should think about that reversing. And then finally, if you’re also able to quantify the higher maintenance impact that you’re going to have in this first half compared to 2020.
Tapio Korpeinen: Maybe if I’ll comment on the refunds, we have not and do not sort of give any euro terms guidance on the refunds. But well as you said, and as I mentioned earlier in the call, the level is similar to last year, and we have had that effect in the fourth quarter each year for some time now already, obviously. But also benefited, as mentioned, the business – underlying business in the fourth quarter compared to the third quarter of 2020 was the higher volumes and, let’s say, costs in other areas as well. Then in terms of the maintenance impact for this year. So again, last year we did not have any major maintenance shutdowns in the first half of the year because we had to postpone them to the second half – or actually in the fourth quarter because of COVID. So now we are having two shutdowns, one here in Finland, the Kymi mill and then Fray Bentos in Uruguay. And one can say, let’s say, the cost impact for these larger mills is what we have indicated earlier as well roughly €15 million per mill, plus then whatever one estimates for the impact of lost production for the time that the mills are down.
Jussi Pesonen: Then the consideration of the strike is quite tricky when you have the quarter one minus 8% demand decline and second quarter being 32% down. So in terms of thinking about the full year results, I think that it is not – we would have been able to, of course, take temporary downtime anyway. But of course, it was causing quite a significant challenge in the beginning of the year. I don’t remember exactly the numbers that we were quantifying at that time. Roughly speaking, if I remember right, €20 million. But like I said, that then it starts to be quite tricky to have a kind of consideration, as you are putting it in your modeling, and therefore, consider that twice before just adding numbers together.
Operator: And our next question comes from the line of Justin Jordan at Exane.
Justin Jordan: I’ve got two separate questions. Firstly, on the spearheads capital commitments. If you look at, for example, Note six on Page 27 of your release, I appreciate you’ve guided to total CapEx of €2 billion this year and €31.8 billion or so on the spearheads. So am I right in thinking that would leave some €900 million to be completed, as it were, in calendar 2022, 2023? I’m not asking for a split between those two years. Clearly, that’s sort of €900 million approximately, excluding whatever the Board may decide on the biorefinery at some point in 2022.
Jussi Pesonen: That is excluded on those numbers so…
Justin Jordan: Okay. And then just on – you guided clearly first half EBIT of being lower year-over-year and second half EBIT higher year-over-year. I just wanted to double check in terms of mill maintenance shuts in 2021, that there isn’t any shuts in the second half of 2021. And clearly, that’s a year-on-year benefit, as it were, when we think about 2021 second half that you just reported?
Tapio Korpeinen: That is correct. We have the shutdowns now this year in the second quarter.
Justin Jordan: Okay. And I guess just one final sort of follow-on, if I could. I appreciate investors will remain nervous about Communication Paper outlook because of the structural demand decline trends. But I assume that, frankly, as you’ve done in the last nine quarters, you and the Board will continue to take continue to take whatever action is required to just maintain high operating rates.
Jussi Pesonen: Correct. Yes, exactly. We take what needs to be taken.
Operator: Our next question comes from the line of Cole Hathorn at Jefferies. Please go ahead. Your line is now open.
Cole Hathorn: Just one on CO2 and the energy-related rebates. I know UPM has invested in projects like your combined heat and power plant in Nordland and other energy-related projects over the years to reduce CO2 emissions. Can you elaborate on how you feel UPM is placed versus some of your smaller competitors in graphic paper that potentially have more CO2 exposure and probably not invested as much in energy infrastructure? And the reason I ask is, with CO2 credits potentially declining in future years and costs rising for these smaller players, how do you expect CO2 and energy regulation to impact the graphic paper industry? And how is UPM positioned for that? Thank you.
Tapio Korpeinen: Well, Jussi showed and mentioned with our commitment to this 1.5C scenario that we have the target to reduce emissions by 65% by the year 2030. And I think we have pointed out in this context before that this is not only an aspiration, but actually, we have a program which actually has a payback to it. So in that sense, we have quite concrete, financially viable steps that we are taking to reduce emissions. And that’s the benefit that we have in UPM, let’s say, given our scale and asset base and everything else. This is true also for Communication Papers. As an example, we have the CHP project going in Germany, which will reduce our emissions clearly. So to your question, I think it’s safe to say that we have a clear competitive advantage vis-a-vis many of our competitors, not only in the Communication Papers business, but in other business areas as well.
Cole Hathorn: And then just one question on Raflatac. From a structural perspective, you’ve benefited a lot this year as well from the underlying business improvements, but from the fact that we’ve been in lockdowns and you’ve got a lot more exposure to the kind of the retail channel in that Raflatac business in general. How do you see that kind of playing out next year? And what benefits do you think are structurally there with kind of more labeling and packaging for Raflatac? Just want to know the – any key changes there?
Jussi Pesonen: They are different sources of improved actually – the performance for the Raflatac. First of all, we have done, quite many years, internal measures to improve our product mix, to improve our low-cost operations. Like we have been investing in Poland for quite significantly to improve our cost bases. So a lot on that side as well as on a commercial front as well. And then obviously, it is clear that, like e- commerce, will stay on a high level. This has been boosting the e-commerce business. And thus, the labeling will definitely have a kind of structural benefit out of that. The year, as said already, was in COVID-19 year, we saw a 5% increase in demand. It’s quite a solid, good, strong growth actually for the business. Obviously, this pandemic is definitely boosting some of the structural changes that are beneficial for the Raflatac and Specialty Paper businesses. Difficult to quantify it totally kind of as a number.
Operator: Our next question comes from the line of Johannes Grunselius of Kepler Cheuvreux.
Johannes Grunselius: I have a question – a few questions on the ongoing investments and especially on the second refinery investment that seems to be approaching. Could you just remind us about what kind of – or can you tell us what kind of CapEx level you are foreseeing there? And also, can you talk about the feedstock for that future plant? Have you secured the necessary feedstock already at this point? That’s my first question.
Jussi Pesonen: First of all, the CapEx level, on rough terms, will be approaching €1 billion. So that is a kind of ballpark. But of course, this basic engineering will actually define the need for investments. And as we do have two locations, we have Kotka here in Finland and Rotterdam in Netherlands, it defines the CapEx needs. The feedstock issue is definitely very interesting. If there is a couple of unique things in UPM Biofuels business, it is especially the integrated feedstock ideas that we have. We, unfortunately, don’t want to about that much, what kind of feedstocks we use. Typically, residuals, even solid wood, but many, many sources of different feedstocks. And we have been talking about also a winter crop in Uruguay as a kind of possible oil crop that is as a kind of feedstock. So yes, this is all about the kind of securing the feedstock. Kind of needs to be a bankable plan for long term kind of feeding efficiently, low cost, stable-priced feedstock. And then another novelty is, of course, technology, which is then yielding a even higher CO2 reduction that we have in Lappeenranta, which is 80% to 85%. We are talking about higher than that. And so basically, that – those are the kind of drivers for this thing. We definitely will use like green hydrogen as well in terms of building this case very efficiently.
Johannes Grunselius: Is the main plan still to source that – carrying out the winter crop from Uruguay? Or do you more see that you will feed in residuals from the forest greens in Europe.
Jussi Pesonen: All the options are available, and they are not either/or, they can be both.
Johannes Grunselius: Okay. Okay. More on the ongoing business. I mean you touched upon that star performance of Raflatac, Specialty Paper. And I mean you gave some broad outlook comments for the coming quarters with higher prices, and obviously, pulp is one of them. But could you touch upon pricing for Raflatac and Specialty Paper? And also sort of if there’s any big headwinds for these divisions in terms of increased cost?
Jussi Pesonen: I have to be now kind of sorry for that. As many of you know that in UPM, we do not actually start to speculate of the prices of various products. So it’s a kind of what we have achieved and that was the comment that we have seen in fourth quarter that the pulp prices have been on increase. We have concluded many of the half year contracts for paper business already before the year-end. And that was the reference for that mid-single-digit decline in graphic papers. But on top of that, we do not, unfortunately, disclose any of the other pricing things.
Johannes Grunselius: Maybe a final question from my side. I mean on the Leuna investments, it’s – I mean the coming profits will be very sort of dependent on the pricing you will achieve there. Have you seen any changes over the – since the third quarter report or since your Capital Markets Day when it comes to demand and pricing for the products you are aiming at?
Jussi Pesonen: I guess that when we made the decision of investing, there has been more people, customers, that are ready to talk to us and wants to have the product. This renewable source of raw materials and the chemicals is definitely having a good outlook for the market. Nothing has changed from that Capital Markets Day.
Operator: Our next question comes from the line of Lars Kjellberg of Credit Suisse.
Lars Kjellberg: Most of my questions have been answered, but I have a couple. When you’re looking into 2021, you had clearly some cost tailwinds in 2020. So Tapio, what are you seeing on the ground? Some energy costs are coming up, some chemicals have come up, fiber, I guess, maybe mixed picture. But if you can share with us what you’re seeing on that? And also if you can, remind us what sort of fixed cost – how we should view that year-on-year, considering the significant capacity reductions and various programs you put in place, how we should see that coming down and benefit your 2021 performance?
Jussi Pesonen: Yes. Well, maybe first, looking at the kind of variable cost or sort of input cost into the production on that side. I would say that still, let’s say, what we saw in the fourth quarter and, let’s say, also apart from this energy issue that we discussed already earlier and what I think we can see is looking now in the first part of the year that this sort of, let’s call them, sort of local cost environment. This is still relatively benign or flat nor high sort of inflation there to be expected at this point in time. Then we do have impacts that are, in a sense, more coming perhaps from the global activity, China included, which then has its effect on the sort of global commodity market, including the pulp price, which will then have its kind of effect on, let’s say, the costs here in Europe as well. So let’s say, obviously, we have seen oil price going up, but some of the other energy fundamentals going up, which will impact here. Pulp, obviously, is higher cost for Specialty Papers, to some extent, for Communication Papers as well but then obviously benefits our pulp business. Then we will see how the kind of pickup of business activity starts to impact during the second half of the year. But if that is the case, then obviously, we would expect the sort of pricing power in the market for our products to sort of continue to improve as well as the year sort of evolves. On the fixed cost side, we already mentioned here the €130 million annual savings that is coming from the steps that we have taken. Last year, 2020 compared to 2019, our fixed cost was down by about €140 million. Obviously, part of it coming from temporary actions, layoffs in Germany, Finland, other locations as well. Obviously, especially in Communication Papers, but also in other businesses where, in a sense, that was necessary because of the short-term kind of a fall in volumes. With the structural actions that we have taken, then obviously, for instance, in the paper business but also in Plywood business shutting down two of our plywood plants here in Finland, we have sort of made actions that will replace those temporary savings with more permanent structural sort of savings. Overall, I would say that our sort of running fixed costs will be lower. That’s our target this year because of those actions that we have already made and that are in implementation. We do have some additional sort of fixed cost this year because of the large projects that we have ongoing mostly, obviously, capitalized, but not all of the cost is capitalized. So there is some running OpEx, including also the basic engineering for the biofuels plant. So then if you kind of add all that into it, then overall, we expect that we can still keep overall fixed cost this year flat or somewhat down.
Lars Kjellberg: Got it. Just wanted to come back a bit to the Raflatac business, where you clearly saw a step-up in performance, but also quite a lot of volatility in between quarters. So it would be interesting to see what – if you want to comment on how you’re starting in the new year. And equally so on Communication Paper, of course, where you’ve seen a still pretty awful demand environment somewhat less bad, I suppose. How do we start the new year in these two businesses in terms of performance? That would be of interest. And the final question – well, an additional question, if I may, just on pulp. As you are a meaningful pulp buyer of course in China, we’ve seen a tremendous change, of course, in that Shanghai pulp futures. Do you see that being in sync with what you’re seeing in the marketplace? Meaning well, really push prices up at quite a rocket speed? Or do you see it somewhere disconnected between what you’re seeing on the ground and what’s happening to that specific futures market?
Jussi Pesonen: Lars, we typically don’t start to talk about the beginning of the year and the quarter that we are now in. But if I say that nothing dramatic has changed over the year-end, actually, in these two businesses. So basically, typical seasonality and everything is in place. And still, as we know, that the whole Europe is having a lot of challenge in the COVID-19 and lockdowns as well. China is actually interesting place today. It’s everything that is now developing into the positive direction. Same applies with the pulp as well.
Lars Kjellberg: Got it. Just one final one. When will you consider to create a separate business area for your sort of biochemicals biodiesel business to strip it out of the pulp business? Is that something you will plan at some stage?
Jussi Pesonen: I guess that it is fair to say that when it is mature enough as a kind of business area and these projects are heading into the final stage. That is the moment.
Operator: Our next question comes from the line of Mikael Doepel of UBS.
Mikael Doepel: Just a brief follow up first on the graphic paper markets and what you said about the – nothing dramatic having really changed there. But I remember at your Capital Markets Day, I think you still pointed to expectations of some sort of a bounce back in 2021 compared to 2020. Is this still something that you expect? Or have you revised your assumption on that front for this year?
Jussi Pesonen: Certainly, we are not commenting that at this stage, but of course, doing a lot of studies to look at what will be of years coming and what will be the kind of structural change and what will be the kind of normalization of the business.
Mikael Doepel: Okay. Then in terms of the guidance that you gave, seeing H1 down year-over-year and then a recovery in the second half of this year. How should we read that? I mean it’s kind of – are you trying to say that the earnings will be overall flat year-over-year 2021? Or how should we read that guidance?
Jussi Pesonen: That is the guidance. There is nothing, in a sense, to add to that. Basically, what we are saying is that during the first half of the year, we have some factors that are holding us back that we have discussed here earlier, the fact that paper price is starting the year lower. We have the maintenance shutdowns that we did not have in the first half of the year. Then obviously, this kind of recovery in the world is advancing in the meantime, and it all depends on how that sort of shapes up during the year. So therefore, this is all the guidance that we give at this point in time.
Mikael Doepel: Okay. Okay. And just a brief follow-up on that. In terms of the expected recovery in the second half and, I guess, in addition to the impact of the maintenance. Is there any kind of a key assumption you would dare to share there? Or is it just a question about assuming that the overall economy recovers?
Jussi Pesonen: Maintenance point, I guess we discussed earlier already that due to the reasons that we have discussed during the year, we had the maintenance activity in the second half of the year now, which is, by the way, the case for many others in the industry as well. Like in the pulp business, the maintenance activity is more taking place in the first part of the year, in our case, in the second quarter and then no major maintenance shutdowns in the second half.
Operator: Our next question comes from the line of Robin Santavirta of Carnegie.
Robin Santavirta: Yes. Now a couple of questions on the planned biofuels investment that you have. I guess the Lappeenranta plant is generating an ROC of around 25% and an EBIT margin of some 20% for you guys. Now if you look at the planned new biorefinery, would it be reasonable to expect similar kind of profitability for the investment? Or are you planning to have – or could the profitability be better or a bit lower? So any guidance or any sort of comments on the new plant profitability compared to Lappeenranta will be appreciated.
Jussi Pesonen: Reasonable is to wait for the basic engineering to give the answers for all those factors that will influence on the profitability as well. Of course, we are targeting as high as possible.
Robin Santavirta: All right. Fair enough. Then the second question related to that, now it appears as you’re sort of targeting proprietary feedstocks and technology and it seems as you’re targeting CO2 reduction far higher than the common biofuels out there, 60% to 80%. I guess you mentioned in the CMD, you could even go to 100% CO2 reduction. Now what’s the best way to monetize this? It doesn’t seem as 100,000- tonne plant over the next five years or something like that is the best way if you really have proprietary technology at your hands. Are you looking at any plans to potentially license this technology, spin it out with another larger sort of company or any other way to sort of monetize this if you’re successful?
Jussi Pesonen: I guess that now it is time to put all the efforts on basic engineering and then consider other things. But yes, we are trying to make something unique as well where there’s a kind of entry barrier and protection from all kinds of things, whether it’s in raw materials or technologies. We’ll see. It is a very interesting part of the growth story now. But ladies and gentlemen, we need to, I guess, stop here now. And thank you for joining us, and have a very good day. Thank you.